William A. W. Lundin: Okay. So welcome, everybody, to IPC's Second Quarter Results Update Presentation for 2025. I'm William Lundin, the President and CEO; and alongside me today is Christophe Nerguararian, our CFO; as well as Rebecca Gordon, our SVP of Corporate Planning and Investor Relations. So, I'll start in the usual format with the quarterly highlights and provide an operational update at each of our assets. Then Christophe will go into greater detail on the financial aspects for the quarter. Following the presentation, we'll take questions, which can be submitted online or through the conference call. So, it was another solid quarter for the company with average daily production rates of 43,600 barrels of oil equivalent per day. That was in line with guidance, and our full year production guidance is maintained at 43,000 to 45,000 barrels of oil equivalent per day. Operating costs for the quarter were slightly below guidance at $17.80. There's slightly cheaper input costs as well as some activity rephasing. Full year operating expenditure outlook is maintained between $18 and $19 a barrel. On the capital expenditure front, our full year guidance is maintained at USD 320 million. Through the first 6 months of the year, we spent around $199 million. So that represents slightly more than 60% of our full year capital program. And with about $138 million out of the $199 million spent through the first 6 months of the year, that was allocated towards the transformational Blackrod Phase 1 development. And we did host a large investor and analyst site visit in the quarter to showcase the world-class asset, which was very well received and a special hats off to our team for facilitating a great tour to some of our key stakeholders during that period in June. So, on the cash flow front, Brent averaged around $68 a barrel in Q2. Our operating cash flow for the quarter was USD 55 million, which was in line with expectation. Full year OCF outlook is forecast between USD 245 million to USD 260 million, assuming Brent prices of $60 to $75 a barrel for the remainder of the year. Free cash flow for the quarter after taking into account all CapEx that was spent was minus USD 58 million and the full year free cash flow forecast for a final major growth spend year at Blackrod is expected to be between USD 135 million to USD 120 million between $60 and $75 Brent, that is negative $135 million to negative $120 million. On the balance sheet front, our net debt position as at the end of Q2 stands at USD 375 million with gross cash available to the business of USD 79 million. And we have increased our revolving credit facility in Canada from CAD 180 million to CAD 250 million, which remains undrawn at this period. So, the company remains well-positioned with healthy liquidity availability. We did elect to increase our oil hedging exposure during the second quarter, and that took place during the price spike while the Iran, Israel conflicts were escalating in June. So, we added 4,000 barrels per day for the second half of 2025 in the form of 0 cost collars between $65 and $75 a barrel WTI. So, it really helps protect the downside in this volatile market for the remainder of this year. On the ESG side of things, there were no material incidents recorded during the quarter, and we're pleased to announce the release of our sixth annual sustainability report, which came alongside our Q2 results. On the share repurchase front, we have made great headway with our NCIB program. We are about 85% progressed through that program and the average repurchase price for the 2024-2025 NCIB program has been around SEK 140 per share. So, we intend to complete that program before expiry in December. First half production average for 2025, when you take into account all 6 months of the year is right in line in the middle of our guidance at 44,000 BOEs per day. And Q2 production average again was 43,600 barrels of oil equivalent per day. As can be seen on the production plot, really highlights the low decline nature of our producing assets, and we look forward to seeing the incremental production boost in Q3 from the short-cycle investments that were undertaken, mainly at Onion Lake Thermal in Canada and the Bertam field in Malaysia. And you can see some of those investments starting to bear its fruits in the beginning of July there on that production plot from Onion Lake Thermal as and [indiscernible] Again, the full year production forecast for 2025 is maintained between 43,000 and 45,000 barrels of oil equivalent per day. very confident to be able to deliver another year within production guidance. Our portfolio is a diversified production mix, and it consists of 1/3 natural gas weighting and then 2/3 oil with about 55% of that oil mix coming from Canada and the balance coming from France and Malaysia. And of course, those 2 assets have Brent-linked pricing. Moving on to our operating cash flow. So, for the first 6 months of the year, the business generated a robust $130 million in OCF and the Brent to WTI differential during that period was $4 a barrel. And the WTI to WCS differential averaged $11 per barrel through the first 6 months of the year. So, it's notably the tightest first half differential we have seen since IPC stepped into Canada, and this is very much a feature of there now being more takeaway capacity than supply in the Western Canadian Sedimentary Basin, thanks to the TMX pipeline coming on stream. So full year OCF is expected to be between $245 million to $260 million for the year as we've tightened that. And we are forecasting differentials between $3 a barrel and $10 a barrel for Brent to WTI and WTI to WCS in the $60 scenario and for the $75 scenario, we are forecasting a differential of $5 and $15 a barrel, respectively, for that Brent to WTI and WTI to WCS. Capital expenditure, inclusive of decommissioning spend is forecast at USD 320 million. So our CapEx profile is expected to gradually decrease throughout the year as we progress into the second half and as we get closer to the Blackrod Phase 1 completion and the bulk of our non-Blackrod CapEx investments that have largely taken place to current point in time now, again, mainly relating to the investments at Onion Lake Thermal as well as in Malaysia, which I will expand on in detail in the upcoming slides. Free cash flow year-to-date for the first half is USD 43 million, excluding any CapEx investments at the Blackrod asset when taking into account all CapEx the free cash flow for the first half of the year is minus $101 million. Similarly to the OCF, we've tightened our free cash flow full year outlook for 2025, where excluding Blackrod CapEx, we expect to generate between USD 95 million to USD 110 million between $60 and $75 Brent. And when taking into account the CapEx at Blackrod, the full year free cash flow outlook is expected to be between minus USD 135 million and minus USD 120 million between $60 and $75 Brent. Share repurchases. IPC has continued on its anti-dilution path, and the company has achieved a notable milestone in the quarter, where we now have less shares, outstanding compared to that of when the company was formed. So only 76 million shares have been repurchased since the company's inception and the average price, all those shares have been repurchased at is SEK 77 per share or CAD 10 per share, which is less than half the price of our current share price today. The portfolio has underwent a significant transformation with material increases to production, reserves, resources and value, as can be seen on the right-hand side of the slide compared to that of the portfolio IPC was sitting on when the company was IPO-ed in April 2017. So provided we keep trading at a discount relative to our intrinsic value, the balance sheet stays in good shape and our net debt to EBITDA is less than 1.75x. We intend to complete the remaining 2024, 2025 NCIB program by the time it expires in early December. So really, the combination of turbocharging production growth through the Blackrod investment and canceling out the shares should prove to be a winning formula for our stakeholders. The net asset value side, we have at year-end '24, a net asset value based on our 2P reserves in excess of $3 billion, representing a fair share price of SEK 287 per share or CAD 37 per share. And again, no value is assigned to our large contingent resource base in this NAV calculation. And based on this NAV where we're currently trading, it represents approximately a 40% discount to our intrinsic value, which really underpins the strategy for our shareholder returns being buybacks opposed to dividends. So, the Phase 1 development at the Blackrod asset, it's very much on time and on budget. Great progress has been made on this project since it was sanctioned in February of 2023. We've greatly derisked the overall project. Around USD 729 million of growth CapEx has been incurred since the project was sanctioned or around 86% of the total growth CapEx to first oil. So as prime contractor at the site, I'm especially proud that there has been no material safety incidents since responsible development activities began. And a notable milestone was achieved at the end of Q2, where the final central processing facility module was delivered to site. So now all fabrication for the CPF is completed at this stage. So really mechanical, electrical and instrumentation work scopes at site are the key focus for our project and the construction and operation teams at site remain diligently working well ahead on those fronts. Well pad facilities, drilling and completions, third-party pipeline systems are all progressing according to plan. So, we're very pleased with the status of the project at this stage, and we feel really confident to deliver within the guidance that has been set out. Overall, on the schedule, I'd noted the main scopes that are advancing. It's very exciting to see as we get closer to this asset about to come on stream. And as we get closer to the start-up of the Blackrod Phase 1 development, we will initiate a progressive turnover strategy in the coming time to position us well for the overall start-up of this asset. And moving on now to our producing assets. At Onion Lake Thermal, we had stable production performance for the quarter. And you can see on the production plot that we began benefiting from some of the short-cycle investment opportunities that were undertaken, whereby there is 4 infill wells planned this year at Onion Lake Thermal, 2 of those started producing at the end of Q2 and the other 2 infill wells are coming on stream just after Q2. And we also have the final 2 well pairs on L pad also ramping up to keep production levels as high as possible at this asset for the remainder of 2025. Moving on to the Suffield area assets. So valuable low decline production here, as can be seen on the production plot. There is no major development activity planned for 2025, but there is a large inventory of drill-ready opportunities that sit within the portfolio that could be sanctioned at the discretion of the company. And the gas production here is a strategic benefit to have within the portfolio, especially as we look to ramp up Blackrod in due course, which helps as a natural hedge relative to the gas consumption at the other assets in Canada. On the other assets in Canada, some good performance through the second quarter. There was some planned maintenance activity that successfully got completed in May. We are seeing a nice response from the polymer flood at our Mooney asset. And again, here, there's no major development activity planned at the other assets in Canada. Moving on to Malaysia for the second quarter is another great quarter of operational performance. We had high facility uptime, excluding planned maintenance, which was greater than 99%. We also successfully completed the drilling and workover campaign that just finished after Q2. So, encouraging results to start out, whereby we have a new well, A21 on stream, and we also brought A15 online after the workover. So, we're in a cleanup and stabilization period, but we look forward to coming out with the next quarterly results where you can see the ARO signaling an increase in overall production here, thanks to those investments that were undertaken earlier in the year. And there is planned maintenance activity also scheduled for late September and also going into Q4, and that is very much on track overall to take place. In France, in low decline production here as well, stable operations through the second quarter of 2025. There is quite a lot of maintenance well workover activity. As you can see in the production plot, we benefited from a slight production boost there and a robust pipeline of investment opportunities also sit within the France business, and that is shown on the graphic on the right of the slide, where in the FAB field, we like to call it Fontaine-au-Bron, there are multiple sidetrack opportunities that we are excited to unleash when appropriate. And with that, I will pass it along to Christophe to go through the financial highlights for the second quarter.
Christophe Nerguararian: Yes. Thank you very much, Will. Good morning, everyone. So, a good production, just 2% below the one for the first quarter. So, we were producing on average 43,600 barrels of oil equivalent per day during this quarter and just at 44,000 right in the middle of the guidance for the first 6 months of this year. So, we are very happy to reiterate the guidance in terms of our production forecast for the whole year. And actually, we reiterate the guidance on all matters. So we keep the 43,000 to 45,000 barrels of oil equivalent per day production guidance for the year as well as the OpEx guidance and the CapEx guidance. Oil prices were slightly lower, $7, $8 lower than during the first quarter and with a mildly lower production, the operating cash flow was as well lower in the second quarter, but still strong at USD 55 million, $130 million for the first 6 months of the year. And interestingly, we were still before the Blackrod CapEx Phase 1, we posted a positive free cash flow for the quarter. So, the base business is running smoothly and very well. As you can see here on this first slide, a reasonably high CapEx, still lots of investments, mostly on Blackrod Phase 1 project. So, we spent actually USD 100 million during first quarter this year, another USD 100 million during the second quarter. So, we almost spent 2/3 of our CapEx guidance for the year at $320 million by the end of this year. So, we signaled before that this year, the CapEx program would be front-loaded during the year, and that's exactly what's happening with almost 1/3 in the first and the second quarter. With a net debt of USD 375 million, the leverage of the company is now at around 1.4x which is still very reasonable when you think that on aggregate, we've already spent or 85% of USD 730 million of CapEx cumulatively on the project. As I mentioned, the realized prices in the second quarter were a bit lower with Brent and WTI almost $8 per barrel lower. Now the interesting point is that the WTI to WCS, the differential there was very, very good, very tight at minus $10. And it's reassuring to see all the positive benefits finally of having the expansion of the Trans Mountain pipeline on stream. There is ample egress capacity now from the Western side of Canada with oil flowing freely to the U.S. without any tariffs. And it's very supportive of our ongoing investment at Blackrod to see that the differential remains very tight at minus $10. So, the Brent on average was at $68 this quarter. It doesn't look like it, but we continue to receive a very strong premium in Malaysia. We only had 1 lifting this quarter. In France, we're selling again on par with Brent. The WTI was at $64, WCS $10 lower at $54 per barrel, and we're selling oil from Suffield and Onion Lake essentially on par with WCS. Gas prices, as you know, in Canada, there is a reasonably strong seasonality with gas prices and gas prices are traditionally lower in the summer times. No difference is this year with reasonably low oil price -- gas prices. The good thing is that the LNG Canada project started with the first LNG trains on stream, and we believe that this should help the market by rebalancing the egress with the production, and we hope to see improved gas prices towards the end of the year when the storage level starts to improve. Looking at the cumulative operating cash flow and EBITDA of USD 130 million and USD 123 million for the first 6 months. You can see that despite slightly lower production this year compared to the first 6 months last year, and much lower oil prices, the base business continues to deliver very strong cash flows to fund our investment and our share buyback. Operating costs, as I mentioned, the guidance is maintained at between $18 to $19 per BOE for operating costs. It's -- the second quarter was a bit lower than anticipated, driven by lower electricity prices. But you can see that we anticipate slightly higher operating cost per barrel. There is some upside for the third and the fourth quarter, but we're expecting higher OpEx per barrel for the rest of the year, including with some maintenance costs in Q3 and Q4 in Malaysia, where we have to shut in production for a few days and spend some normal maintenance OpEx there. In terms of netback, you can see that for the first 6 months of the year with $42 per BOE of revenues that translated into a cash margin of $16 per BOE and $16 per BOE as well for the operating cash flow for the first 6 months of the year and EBITDA just above $15 with G&A maintained at $1 per BOE. So, the costs remain under control while the production is reasonably flat. So, when you look at the net debt from the beginning of this year to the end of the second quarter, you can see that our operating cash flow of $130 million almost fully funds the Blackrod Phase 1 investment of $138 million. And if you exclude that, our operating cash flow actually fully covered a bit more all the rest of our cost, including the CapEx for the rest of the business, or G&A or net financial items and the share buyback. So, we added around $167 million of net debt during the first 6 months of this year, and we had USD 375 million of net debt at the end of the year -- of the quarter, I beg your pardon, with a leverage of 1.4x. The net financial items and the G&A on this slide, you can see that it's a bit misleading -- it's not misleading. It's obviously correct, but we had a noncash gain in terms of the FX movement, which offset some real cash financial costs. So, the total net financial items are essentially 0 this quarter, but we're continuing, obviously, to pay our coupon and other bonds and then the rest of our finance costs which are very stable quarter-to-quarter. They just look small this quarter with this noncash gain on the FX front. G&A, as I mentioned, remain under control at below -- at USD 4 million or $1 per BOE for the quarter. So financial results for the first 6 months with $338 million of revenues and $207 million of production costs. We had a cash margin of $130 million, gross profit of $68 million and net result of $30 million for the first 6 months. The balance sheet remains strong. And the common theme is that we are using more and more of our cash to invest in the business and Blackrod in particular. So, you can see the cash position going down while we're increasing the value of our oil and gas assets on the balance sheet exactly as you would expect. The capital structure of the business has not really evolved. We still have obviously of USD 450 million worth of bonds, which are maturing in February 2027. So, we are following very closely with our banks and brokers, the state of the debt capital market. We remain very opportunistic. And if the right window opens, will contemplate refinancing, extending the maturity or the best solution for the business in the next few months. There's no rush, but of course, we remain very focused on the state of the market. We were able and willing, and we welcome another bank in our bank syndicate in Canada. So, while our revolving credit facility was fully available and undrawn at the end of the second quarter, we increased that RCF in Canada from CAD 180 million to CAD 250 million or roughly USD 180 million, again, which is fully available, and we extended the maturity until May 2027. We have a lot of credit facility, which -- of $40 million, which is going to go down once the pipeline -- the Blackrod pipeline are fully up and running, which is expected during this year. Still a very small French unsecured loan, which will be fully repaid by the end of May 2026. So a solid balance sheet and lots of liquidity with a fully available and undrawn Canadian RCF. In terms of hedging, while there were some very high geopolitical tensions between Israel and Iran, during the second quarter, we used that opportunity to add a bit of downside protection on our WTI-linked production. So, we added 4,000 barrels a day of 0 cost collar between $65 and $75 a barrel for the second half of this year. Otherwise, we remain reasonably well protected as well for the Brent with around 40% of our exposure hedged for the second quarter this year. The WTI swaps and the Brent swaps are unfortunately in the money as well as our gas swaps for the moment and potentially for the second half of this year based on the current forward curve. And you can see here the FX protection, which we entered into earlier on. No change there. And we were pretty happy with the hedges we did on the FX front on the Canadian dollar to protect our investment in Blackrod. So, thank you very much, and I will let Will conclude.
William A. W. Lundin: Thanks, Christophe. So, in summary, for the 6 months highlights for the business, we've invested USD 199 million in capital expenditure. $138 million of that has gone to the Blackrod Phase 1 development production front. 600 barrels of oil equivalent per day for the second quarter. Full year production guidance is maintained at 43,000 to 45,000 barrels of oil equivalent per day. Operating costs, $17.80 for Q2. And again, we maintain our full year outlook of OpEx per BOE between $18 and $19. Strong cash flow in Q2 of USD 55 million through operating cash flow and free cash flow for the quarter was minus $58 million in free cash flow. The balance sheet, again, to reiterate, a net debt position of $375 million and gross cash resources available just below $80 million as at the end of June 2025. No material safety incidents or environmental incidents through the quarter or throughout the year. And again, the sustainability report we issued, we encourage our audience to read that prescriptive write up in terms of some of the initiatives and performance highlights on the sustainability front that the company has undertaken. Share repurchases, we are 85% of the way there, progressed through this NCIB program, well-positioned to complete that and the intention is to do so. So, with that, happy to turn it over to the operator to take questions. Thank you.
Operator: [Operator Instructions] The first question comes from the line of Teodor Nilsen calling from SB1 Markets.
Teodor Sveen-Nilsen: A few questions. First, on hedging. You've obviously been pretty successful on your hedging on timing there. Just want to know how you think around putting on new hedges right now. Second question, that is on production guidance. As you said year-to-date production is just in the middle of your current production guiding. But we know that Malaysian production will most likely increase in the second half and probably there will be less maintenance going forward than we had in the second quarter. So, since my view, production guidance seems a little bit low. Please comment on that. And the last question for me then is on tariffs in Canada. We discussed this during the site visit in June, of course. And as far as I understand, the Blackrod development is not very impacted by the tariffs. But can you just share your thoughts around what we now know after latest changes on U.S. tariffs and if there will be an impact? And if yes, how?
William A. W. Lundin: Thanks, Teodor, and I appreciate the comment around the hedging. We've been pretty pleased with our hedging position, which, as you know, is very much an opportunistic one that's set out. When we look towards new hedges, a view that flat price is pretty low. I mean, the curve has flattened off quite a bit, but we're happy to reel off that 0 cost collar at that price spike in June. And so, with all the hedges that we have in place for 2025, I think we feel confident and comfortable with what's set out right now. So no firm plans in place to add on for the hedges for the rest of 2025. But again, we're opportunistic at our core. And if there's an attractive item to hedge, we will look into that. But no firm plans to add at this stage. On the production guidance, so where we're at right now at 44,000 BOEs per day for the first half of the year and full year guidance of 43,000 to 45, barrels of oil equivalent per day. You are right. We do have some incremental production coming in from Onion Lake Thermal as well as from the Bertam field. I mean that is largely going to offset some of our natural decline at our entire business. So, to take the position that it's a bit low or to up the production guidance would put us in a difficult place to try and meet that. So that's why we've set out our production guidance and maintain that overall, and we feel well positioned to deliver within it for the full year. The tariff situation, must confess, it's difficult to keep track with Trump and all of the tariffs that are being laid out in front of us across everywhere. Of course, we have a key focus in Canada. But the key element there is that there is no impact to tariffs being applied to crude imports into the U.S. from Canada. And earlier in the year, that did come out, but it got reversed quickly because the vast majority of those refineries in the U.S. are geared to take that Canadian crude, and there's not a lot of alternatives, especially on the inland refineries. So, we don't anticipate Canadian crude to get tariff based on those circumstances.
Operator: [Operator Instructions] The next question comes from the line of Mark Wilson calling from Jefferies.
Mark Wilson: It's all very clear as usual. I just want to check on one detail, and that was the way Bertam, and it's a smaller part of the portfolio, but the way that evolves in Q3 and Q4 because of the new wells versus maintenance. Just if you could just give us a bit more clarity on the details of how that plays out for the rest of the year. It may also tie into this production guidance question here.
William A. W. Lundin: Yes, exactly. So, we completed, as I had mentioned, the drilling and workover program in Malaysia, which was successfully executed. It's early days right now to draw any conclusions in terms of what to expect for the second half production rates coming from those 2 wells specifically. We did just rig release the NAGA 6 rig 2 days ago. So, when we did that, we started up the wells and then the rig was released. We had to turn the wells down in the field. Once the rig was released, then turn the field back on. So, there's been some up and down activity, but we feel confident with the initial indications in terms of what we're seeing and where we guided our overall expectation for Malaysia production for the second half of the year. Within the Malaysian asset, of course, we own the FPSO there, and there's a wellhead platform. And when we had a jack-up rig connected to the asset, we weren't able to, in parallel, complete our planned maintenance activity at the same time, and that's why it's scheduled in late Q3 going into Q4 there. So, we'll look to get the production benefit from the incremental investments coming into Q3 there. And then at the end of the Q3, you'll see the production going down slightly for around a 2-week planned shutdown where production will be turned down during that period of time.
Rebecca Gordon: Are you finished, Mark? You were cutting out.
Mark Wilson: I wasn't actually being heard. I was going to actually ask, now you're back at the share dilution, and you've committed to finishing the buyback, provided leverage below 1.75, which looks like it will. And obviously, 40% discount to NAV, but with the cash flows coming on from Blackrod in the future. So, what would be the longer-term vision of what that share buyback evolution should would run to in the next few years with Blackrod coming on?
William A. W. Lundin: Thanks, Mark. And I think it is a notable achievement that the company has been able to grow its production in terms of its ambitions through our Blackrod investment. And when we look at the time when we sanctioned the Blackrod project, which was in the beginning of 2023, if we compare the shares outstanding at the beginning of 2023 relative to our current shares outstanding right now, that represents approximately a 17.5% reduction in the overall share count. So, there's been significant anti-dilution through reducing our share count and the share buyback programs. We do intend to complete that program under those conditions that you had mentioned there, Mark. And when we look towards the big cash flows coming in from Blackrod, we're going to remain opportunistic. And I think our core principle where we're trading at a material discount relative to our net asset value, the shareholder distributions are likely to remain in the form of buybacks because we feel that that is the best way to create value for all our stakeholders. Now if we start punching above our weight in terms of trading at a premium relative to our intrinsic value, at that point in time, we'd be more interested in a dividend type of format. So it will really depend on where we're trading at as a company, which will dictate the form of shareholder returns going forward. But I think overall, we're in a great position as a company, and we have a lot of flexibility and everything that we're going to do is going to be from a lens to maximize value for our stakeholders.
Operator: Ladies and gentlemen, there are no further questions. So, I will hand you back to your host to conclude today's conference. Thank you.
Rebecca Gordon: Thanks, operator. So, we've got a few questions here from the Internet. Maybe I can start with this one, Will, from Oliver Dunvold. As Blackrod Phase 1 progresses, what synergies from the initial development can be leveraged in subsequent phases?
William A. W. Lundin: Thanks for that. I mean with Blackrod being a massive resource base where we have greater than 1 billion barrels of contingent resources, we very much believe in future phase expansions. And there will no doubt be a lot of key learnings and takeaways from this major Phase 1 development that we are in the midst of right now. We haven't laid out our detailed Phase 2 expansion plan at this point in time. It's still being worked internally. However, when we were to think about synergies that could be realized, there's going to be transport cost synergies to be realized through our pipeline tools that exist in place. Commercial road has been developed, which wouldn't need to be done again, provided we use the same third- party contractors. There could be synergy realizations on the overall engineering design on multiple components of the facility if we were to use a similar facility that we have designed for Phase 1. So, I think there would be a range of synergies that would be realized, but you would also likely be doing a brand-new facility development. So, I don't think we're talking about synergies in excess of 25% of CapEx savings type of thing, maybe plus or minus 10%, but it's early days at this point in time to be granular with the specific savings to be realized.
Rebecca Gordon: Okay. Thanks, Will. Christophe, maybe you can tackle this one. What are your thoughts on bond refinancing and the possibility to increase the ticket on the next bond program?
Christophe Nerguararian: Yes. No, the bond market was in a relatively good shape before the summer. It's kind of off right now because most people are on holidays. But we're in constant dialogue with our banks and brokers, as I mentioned. And our intention is to be able in a very, very short order to jump on any market opportunity. As I said, we have until February 2027 to refinance, but we obviously don't want to wait until the very last minute either. In terms of the ticket, I'm not sure you're talking about coupon size or the overall bond issuance. We don't want to increase the coupon, but certainly, there's a possibility where a refinancing could encompass a $500 million number instead of $450 million, but that would only be a marginal increase to where we are today.
Rebecca Gordon: Great. Thanks. A question from Daniel Stenslet from Arctic. Just a question on the production profile for Blackrod. How do we expect that to evolve through time from first oil to plateau? Will?
William A. W. Lundin: Yes. So, the guidance hasn't changed in terms of the production expectations from Blackrod relative to when we sanctioned the project in early 2023, where we're expecting oil in late 2026, first oil and then production to be ramped up at plateau production rates of the 30,000 barrels per day come early 2028. So that's the current conditions and expectation for the production profile at Blackrod. And in any scenario where if things improve, whether it be schedule or ramp-up-wise, we hope that there's a little bit of upside beyond that. However, we put in the best technical estimate case at this point in time.
Rebecca Gordon: Great. Christophe, another one for you. Is there a plan to deleverage? Or are you happy with the net debt to EBITDA of 1.4x? Is that reasonable going forward?
Christophe Nerguararian: I think given where we are, 1.4x is actually very reasonable because, again, we're in the midst of the heavy investment program on Blackrod. So I think we mentioned in the past that we like a leverage of 1x or less. And that is certainly where we will be heading towards once Blackrod is ramped up. In the short term, you should expect the leverage to increase a bit more before it reduces again.
Rebecca Gordon: Very good. Well, perhaps we'll take this as the last question on time. Is M&A an alternative? Or is there too much internal opportunity for growth?
William A. W. Lundin: Again, we're opportunistic at our core. The 3 key strategic pillars for the company are organic growth, M&A and stakeholder returns. And so we look to create value for our stakeholders through all 3 of those avenues. We're constantly reviewing different opportunities in the M&A front, and there's a rubric that sits behind that. And so again, being opportunistic at the right size and shape of an asset opportunity that comes available, we're not shy to looking into that. And I think upon Blackrod coming on stream, production ramping up and free cash flow generation increasing materially, I think that will put us in an even stronger place to be able to do material acquisitions following that period of time, but really opportunistic at our core.
Rebecca Gordon: Okay. Thanks very much, Will. That's all we've got time for today. So I want you to close it out, Will.
William A. W. Lundin: Great. Thanks very much. Well pleased with the second quarter results and especially exciting as we're getting closer to the Blackrod development coming on stream. So some key work scopes to be undertaken, especially in this month of August here with a lot of man hours to take place and electrical and instrumentation works, however we feel really well-positioned on this project overall. And so, we look forward to informing the market in the next opportunity there. And otherwise, thanks for tuning in.
Rebecca Gordon: Thanks, everyone.
Christophe Nerguararian: Thank you.